Operator: Hello, everyone, and welcome to Utz Brands Fourth Quarter and Full Year 2024 Earnings Conference Call. I'd now like to hand over the call to Kevin Powers, Head of Investor Relations. You may now begin.
Kevin Powers: Thank you, operator. And good morning, everyone. Thank you for joining us today for our live Q&A session and our fourth quarter and full year 2024 results. With me on today's call are Howard Friedman, CEO; and Ajay Kataria, CFO. I hope everybody has had a chance to listen or read our prepared remarks and also view our presentation, all of which are available on our Investor Relations website. Before we begin our Q&A session, just a few housekeeping items. Please note that some of our comments today will contain forward-looking statements based on our current view of our business and the actual future results may differ materially. Please see our recent SEC filings, which identify the principal risks and uncertainties that could affect future performance. Today, we will discuss certain adjusted or non-GAAP financial measures, which are described in more detail in this morning's earnings materials. Reconciliations of non-GAAP financial measures and other associated disclosures are contained in our earnings materials and posted on our website. Now operator, we are ready to open up the line for questions.
Operator: [Operator Instructions] Your first question comes from Andrew Lazar from Barclays. Your line is now open.
Andrew Lazar: Maybe to kick it off, Howard, what is your category growth assumption for fiscal '25? And does that outlook embed sort of holding value share in core while also expanding value share in your expansion markets as was the plan laid out at Investor Day?
Howard Friedman: Look, I think we think the category is going to be somewhere around 0% to 1% next year, so call it, slightly better than flattish. And I think it will continue to progress through the year. To your point on our strategy, our strategy remains intact. We intend to hold our core relative market share and actually grow in expansion markets as our distribution gains and increased marketing support come through and take hold.
Andrew Lazar: I know Utz is per the prepared remarks, looking for a modest headwind from price in fiscal '25. I guess what gives you the confidence that you're building in enough flexibility in light of what you've called out and we've seen in the data as a still sluggish category and some increased competitiveness as well?
Howard Friedman: I think there are a couple of things that we look at. First of all, I think we're looking to deliver value beyond price. We've engaged in some bonus bags. We're working on a price pack architecture to be able to sell up and down the price ladder. We don't believe those impacts will necessarily be significant drags to pricing. I think the second thing we would expect is if you think about how price happened this year in the category, you sort of saw a progressive march to a more promotional category as you went through really the mid part of the year to the end of the year. And eventually, we believe that will normalize as we lap that behavior. And as I think the category participants take stock on what is motivating the shopper to buy and participate in the category, which has always been marketing and innovation and having the right assortment.
Andrew Lazar: I know you expect on the top line pretty even first half, second half in terms of growth. Anything to keep in mind, specifically discrete around 1Q around the top line that we should be aware of just given where some of the recent data has looked like for the category as well as that.
Howard Friedman: Yes. I think for us, you’ll recall that January of 2024 was actually our strongest month of the year, where we grew a little over 6%. So we had anticipated a decline in January given the nature of that lap, which was really promotionally driven. We would expect to see January continue or Q1 to continue to improve as we go through and the year is largely beginning as we would have expected.
Operator: Your next question comes from Peter Galbo from Bank of America.
Peter Galbo: Maybe just a clarifying point to start or an ask on behalf of all of us. Will there be a further breakout historically of the branded salty versus non-branded non-salty kind of breakout that you gave today on a quarterly cadence? I think you said that in the prepared remarks, the realignment will also allow us to better kind of track it relative to the scanner data. So just if there's a longer historical period, at least allows us to test that. So that would be just one ask or if that's your plan.
Kevin Powers: Absolutely, we are more than happy to provide those historical components in terms of the net sales breakdown for the first 3 quarters of last year. Yes, we will plan to do that.
Peter Galbo: And then on the back of that, and I promise there are actual questions in here. Just Howard, when do you fully lap the dips and spreads weakness that's been persisting now, it feels like for maybe longer than you anticipated. But I don't know if there's anything discrete in there that happened this quarter that you'll lap over the next few quarters.
Howard Friedman: It started to become a headwind as we've had some assortment decisions last year, really beginning in May is where when we should see the lapping occur, and then it will progressively improve through sort of the back half of the year.
Peter Galbo: And then just the second kind of follow-up there. Howard, on tortilla chips, in particular, you called that out in the slides. It was one of the bigger kind of core category areas of weakness. It seems like maybe there was some channel dynamics or some shifting that you had all within your portfolio. But just given the increased level of competitiveness, certainly that seems like coming from your biggest competitor in tortilla chips, maybe you can address that more specifically.
Howard Friedman: Yes. I think the issue we saw with tortilla chips in the quarter really was an issue of lapping and some discrete choices that we’ve made on assortment. There’s really not been anything more significant than that, Peter. I think tortilla chips on the border specifically continues to enjoy strong consumer reception. I think we believe it’s at a sharp price point. We obviously have some activity that we’re now doing with bonus packs on that business as well. But it’s really more about that lap that we talked about in the last question, really with December, January, February is really where prior year, you would have seen a lot of the consumption improvement. As we lap that, we would expect it to continue to be strong.
Operator: Your next question comes from Robert Moskow from TD Cowen.
Robert Moskow: A couple of quick questions. First is, what are the big building blocks this year for expanding EBITDA margin? What gives you comfort that even though sales decelerate a bit, that margins are still on track to expand? And you said even exceed in 2026. So how do we disassociate these 2 things from each other? And then I just had a follow-up.
Ajay Kataria: What you're going to see in 2025, very similar to '24. Our productivity program remains pretty strong. We delivered about $60 million of productivity in '24, and we have line of sight to $150 million now or more over the 3-year period of '24 through '26. '25 is going to be similar to what we called out at Investor Day. The algorithm is going to be productivity sort of generates gross margin. We make investments in our supply chain and our capabilities and then net out about 80-ish basis points of EBITDA margin expansion.
Robert Moskow: Is there anything specific that you can call out as to what's giving you such strong productivity? Is it like capital investments at the plant? Is it the new distribution center? Is there any like 1 or 2 things that really stand out?
Ajay Kataria: All of the above, we are making capital investments in our network. You've seen us do that in '24. We'll continue at that pace in '25. The capital investments is driving automation. It's driving more capacity in the plants and sort of leveraging our fixed costs or spreading our fixed costs out further. So that's one piece of it. And then we have done a lot of work around procurement, around logistics. We just opened our RDC distribution center in December. So that's consolidating multiple buildings and inventory in there. So a lot of work that's going into supply chain, a lot of heavy lift that was done in '24, and that process should continue in '25.
Howard Friedman: I think we feel great about the progress we've made in our supply chain optimization and network optimization efforts. And really, as you will recall, it was predicated on a couple of things. One was getting our footprint in order, which we are ahead of schedule on. Two was to start to make investments in automation and actually making sure that our distribution network was efficient as possible to get the total delivered costs lower across the network. If you look at things like the RDC or you look at a lot of the automation that we've done and you look at sort of the capacity expansion that we've been doing, it actually allows us to be able to produce products closer to where they're sold as well. So we're taking product off the road. We're actually doing it in a far more efficient and effective way. And a lot of that has really been coming online over the last, call it, back half of this past year and will continue into the first half of next year. And I think the last thing I would say is we are getting better at understanding our business and understanding demand. And as we do that, there's some waste that comes out of the system that are benefits that just make us more efficient overall. So I think we're ahead of schedule on supply chain. I think we've done a lot of good work. And frankly, we still have probably another year to 1.5 years of consistent effort that we have to apply to continue to make that accelerate before we get to a much younger, more modernized, more efficient network overall.
Robert Moskow: My follow-up, maybe you put it in the prepared remarks, but is there an outlook for the non-branded side of the business? It was down, I think, 18% in the fourth quarter. I think that includes the dips also. So should we expect another double-digit decline in '25 impacting your sales?
Howard Friedman: The short answer is no, you should not expect another double-digit decline impacting our sales. Part of it was the lap that we saw on our dips and salsa business, which we control, and part of it has been on the non-branded side of our business as well, which we’ve been carefully managing as we go. But I feel like we’re in a pretty good place that those businesses will continue to be important for us and our consumer and our Ios, but you should not see that type of decline moving forward.
Operator: Your next question comes from Michael Lavery from Piper Sandler.
Michael Lavery: You touched on some price pack architecture adjustments. Can you maybe just unpack that a little bit and maybe touch on some of the timing and how that may look for the consumer? And also maybe what, if any, margin impact some of those incremental SKUs might have?
Howard Friedman: Look, I think there are a couple of things in terms of price. It's really a price pack architecture and it's also a class of trade question. I think on price pack architecture, what you see right now in the marketplace, we have bonus bags out on potato chips and tortilla chips to be able to add value to the business is basically 20% more in the business. We're also continue to expand the distribution. We've been fortunate. We have a lot of the right pack sizes and making sure that we are putting appropriate emphasis on sort of lower price point in certain classes of trade to make sure that we're hitting critical price thresholds and steps on the latter. So those things, I think we're really just pushing more of. The other thing I would say is you're going to see us actually at the high end of the price ladder as well when you think about Club, which is kind of MULO C+ with convenience actually will help us be able to read a little bit better. So you'll see a step-up in selling there as well. So you'll see it, I think, across the entire ladder. In terms of the margin, I mean, I'll let Ajay answer it, but I think our view is that our guidance largely contemplates the impact of margins.
Ajay Kataria: Yes, it does. We have carefully understood the mix impact and put that in our models.
Michael Lavery: Just a follow-up on distribution expansion. Can you maybe touch on what expectations might be baked into guidance, especially for maybe geographical expansion? And what sort of investments might be needed to move, say, further west, for example?
Howard Friedman: Yes. One of the things I think you saw through the rest of last year is we continue to see a lot of interest and enthusiasm in our portfolio as we continue to work with not only mass and club, but obviously, larger national grocers regionally. And so I think what you saw for the back half of last year, really September through the end of the year as we started to gain distribution, really kind of building through the end of the year. And so you’ll see more out West. It’s going to be a continuation of the same geographies that we’ve talked historically about. We’ve invested in Texas. We’ve invested in Michigan. We’ve invested in Colorado as well. And so you’ll see more of that coming this year. And I think what you saw in the last quarter was you have seen our Power 4 brands in our expansion geographies growing quite nicely. So we would expect to see more of that in the year to come. In terms of what kind of spending you need to do, remember, it’s not as much a promotional price point because we’re relatively new to the market. It’s a lot more about consumer awareness. And that’s part of why you saw that step-up of 70% in the fiscal year last year and our initial guide. As we gain distribution, we will then add incremental advertising to those markets to make sure that consumers can find our brands.
Operator: Your next question comes from Robert Dickerson from Jefferies.
Robert Dickerson: I guess, Howard, just quickly, I just wanted to kind of get your perspective on any channel dynamics taking place now. Just kind of how do you view C-store channel? Do you think there could be some improvement, hopefully, as we get through kind of more of the seasonal kind of peak period kind of as we head into the summer, do you think consumers maybe are buying maybe a little bit more of the bonus bag relative to smaller pack sizes? Trying to understand the channel and just general consumer behavior on purchase rates.
Howard Friedman: Yes. I appreciate the question. Look, a couple of things. I think, first of all, I'm going to kind of tick through a couple of channels, a couple of things. I think we feel really good about what's been going on in traditional grocery. We continue to outperform there and continues to be one of our biggest growth opportunities as we go forward. We understand it well. We perform well in the category and our brands work extremely well. I think similarly, you're going to see continued expansion and movement in club. We are working very hard with our club partners to try and make sure that we have the right assortment items and make sure that when consumers want to pay for the inventory that they can get our products where they're selling. There's no question that C-store has been more of a persistent challenge for us through the course of the year for decisions that we made in the past. We have not moved as quickly to get those things that will be reflected in the data as we would like. We would expect that to improve as we go through the year, and we would expect that channel to return to, call it, modest growth when we have this call a year from now. In terms of the consumer behavior, I think you continue to see value seeking, you continue to see promotional activity and promotion shopping and you continue to see them shopping up and down the ladder. If you are looking for an absolute price point at a low relative cost, you can find that. If you're looking for a lower per ounce cost when you can afford the cost of the inventory, you can see that as well. The one thing I would certainly say is the promotional mix in the category has been interesting as well as you see household penetration really in the category being up for the year, it's really been buy rate as consumers or for a holiday, they're doing multi-buy purchases and taking the inventory and consuming it and in other cases, maybe buying it and actually then being out of the market for a minute, which is causing promotional lift to be a little bit more lumpy. That I think will kind of sort itself out as we go through the year.
Robert Dickerson: Then maybe just to follow up to that last point. We did hear from a competitor. Earlier this week kind of spoke to and quite frankly, a number of food companies kind of spoke to some of that lumpiness in the promotional spend. And then I hear you also speak to price pack architecture, kind of introducing SKUs some smaller pack sizes. So is that also how you're viewing it kind of collectively? I know we kind of talk about what's the net pricing effect. But it also sounds like maybe it's just more efficient to not be promoting as much given the lumpiness to maybe be driving real demand to other product offerings.
Howard Friedman: I think that as you think about price pack, if you’re a shopper who’s going with a fixed amount of money in your wallet, you want to make sure that you’re hitting an absolute price point because the fixed amount of money that’s in your wallet needs to cover all of your demands, which is why making sure that we are sharp on an absolute price point basis is important for us as we move. Some of that lumpiness, I think, that we’re seeing is when you look at multi-buys, you have to make sure that it’s at a price point and there’s enough an assortment, which we are fortunate to have that a consumer can buy a range of products in that multi-purchase occasion. So I think that’s kind of what the lumpiness is. We’ve always been a little bit of a, relatively speaking, lower promoted category because brand building and innovation has always been so important for the shopper in this set, which I still think will remain the same. I think promotional intensity will normalize as we go through the year. And I think there’s no reason to believe, at least in my opinion, that this category is going to be fundamentally different moving forward. I think innovation, communication and promotional pricing will always remain important along with, obviously, quality and availability.
Operator: Question comes from John Baumgartner from Mizuho.
John Baumgartner: Howard, I wanted to touch on promotions for 2025 and in particular, the planned investments in display and non-price promo. At the category level, are you expecting or seeing, I guess, any notable changes relative to history in terms of the allocations provided to salty snacks from retailers given the softness we've seen, either in terms of quantity or format? And then secondly, as you ramp innovation and diversify the pack sizes and expand in seasonals, are there any notable changes that we should expect from your activity year-on-year in 2025, whether it's increased concentration in certain channels or a larger concentration for certain events? Any insights there?
Howard Friedman: We have not experienced any change sort of in the customer allocation for display activity. And if anything, I think one thing that I hope you're seeing because we are setting them is you're seeing a lot more display activity and end cap activity from us in both our core and expansion markets. It's important for us, especially as we start to compete not only on price, but also obviously on availability. And in the expansion markets, it's a great way for us to enter and start to gain the consumer traction that we need. So we have not seen any change in display activity, both in terms of like around the perimeter as well as end caps. And I think part of what continues to be a positive for this category is, again, household penetration for this category is up on the year. Which I think, something that we all should be mindful and proud of as we go and continues to prove that consumers want the product and their pantries. In terms of kind of how do we think about the year coming, I think what you will continue to see is we will continue to compete around our Core 4. Obviously, Boulder Canyon continues to be a brand that is gaining traction given its nutrition profile and non-seed oils. We continue to see that business just growing and obviously passed $100 million this past year. So I think you'll see more activity there and more classes of trade as we go forward. And I think you'll also see from us some innovation that we're proud of and that we expect will continue to allow us to drive consumer interest. Probably on the other branded salty business, we also are, I think, in a really good place and allow value seekers to be able to participate in other products that we sell and other brands should they choose to do that, which we continue to believe that they will.
John Baumgartner: Then in terms of the broader portfolio, I know it's early to speak to M&A in terms of activity. But I am curious, your last couple of deals focused on capacity and route to market. As you look at the broader category at this point and some of the changes, do you think the portfolio might need to take another stab or a larger stat in the future at brands that are perceived as better for you? Or do you feel as though with the scalability of Boulder, that's sufficient to grow organically in that space?
Howard Friedman: Yes. So look, first, I’ll say I feel great about our portfolio. I mean, broadly speaking, I think we have assembled and obviously, over the last 15 years, we’ve assembled a portfolio of brands that we feel great about. And consumers love them. And they have a lot of elasticity that we can go do in terms of like what the consumer would be interested in buying from those brands. Boulder obviously, is one of them and is certainly a place where we believe that it continues to have the flexibility to enter into different subcategories and into different classes of trade, and we’ll continue to do that. I feel the same way, frankly, about us and some of our other brands where they do have permission to travel and they have permission from consumers to be able to both respond to a marketing message as well as incremental innovation, which you’ll see. In terms specifically of should we go and acquire a brand? Look, we will always pay attention to what’s going on out in the marketplace. And if there’s something out there that’s interesting, the first thing we ask ourselves is would we be good owners of it? And if the answer is yes to that, then we’ll do some work. But I don’t necessarily feel like there is a brand out there at the moment that we would look at and say, boy, we don’t think we can do that within our existing portfolio, whether it’s better for you or value, I think our portfolio is pretty solid and I’m pretty excited about it.
Operator: Your next question comes from James Salera from Stephens Inc.
James Salera: I wanted to maybe circle back to the beginning of the conversation just with the outlook for '25 in the category kind of flattish to up modestly. If we think about what you guys did in '24 with both household penetration and the repeat rate increasing simultaneously, how should we think about that in '25? Because I would think that as you add new households, that might have a negative impact on the repeat rate. But obviously, we didn't see that in '24. And so just maybe give us some detail around the composition there? What's driving those both up at the same time? And is that in the core market, expansion market? Just any color around that would be helpful.
Howard Friedman: Yes. So I agree with you that the marketing math would always say that as household penetration rises, we're super pleased that our household penetration has achieved an all-time high for us. Every time I say things like that, it makes me nervous. I'm not going to lie. But our household penetration is very strong. We would expect for naturally that some consumers will try it and they will no longer be interested, and that's not what we're experiencing. We're actually seeing both metrics moving together higher. And I think that speaks to the quality of our products and the diversity of our portfolio. So consumers can come in and try a potato chip and then we can offer them a whole range. Obviously, part of that is also driven by our expansion geographies and what we've been able to do on end caps of being able to present our entire portfolio. So I think it goes to the quality of the product and the strategy of how we're entering markets of why those two things are traveling together. I would also say that we feel very good about our plans for expansion markets going forward into '25. Obviously, we've done some work in the quarter 4 of this past year, and we would expect a lot of that momentum to continue into the year. And we feel pretty good about the distribution opportunities that we have in our core markets. As we've always talked about, our core markets for us have always been more expansion markets for the other 3 power brands. And what we're gaining is distribution in those, and we're shifting the assortment a little bit on those brands and bringing them into the core. So those 2 things together will continue to be centerpieces to our expansion strategy. I think we feel like next year should be another strong year of household penetration gains and households overall.
James Salera: Then maybe if I could shift gears a little bit, but still tie it back to that first question. In the data in the slide deck that you provided on Boulder, obviously, 4Q in the MULO+ data was over 100% over the full year trend. Can you just talk to what's driving that outside of the natural channel? Is it just better shelf placement and it's just appearing on shelf and consumers are becoming aware of it? Or do you see higher repeat rates there? And you tie that back, if you have the data available, offer up which brands you see the highest repeat rates on in that Power Brands portfolio?
Howard Friedman: Yes. In terms of the repeat rates, I probably need to get back to you with an answer on. But I think that what you’re seeing on Boulder, there’s two things happening. One is we are gaining distribution as consumer interest in the product continues to grow. We’re obviously having great success in expanding our distribution of that item. But probably more exciting is the fact that it’s a velocity-led growth story. So yes, we’re gaining distribution, but it is actually accelerating. And certainly, we are proud of the avocado oil chip, and in the last 4 weeks, it’s January, so I always want to be a little bit careful, but it was the #1 chip in the natural channel for the period. So we see the consumers loving the item. The velocities are very strong. And I think what we’re now seeing is as more retailers are interested in looking at that piece of the portfolio better-for-you and avocado oil and non-seed oils, Boulder is obviously square get center in that trend with a great product that actually delivers on taste and affordability.
Operator: We don't have any questions as of the moment. We are now closing the floor for questions. Thank you so much for attending today's call. You may now disconnect. Have a wonderful day.